Operator: Good morning, ladies and gentlemen and welcome to the OceanaGold Corporation Q1 2024 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, May 1st, 2024. I would now like to turn the conference over to Rebecca Harris. Please go ahead.
Rebecca Harris: Good morning and welcome to OceanaGold's first quarter 2024 results webcast and conference call. I'm Rebecca Harris, Director of Investor Relations. We are joined today by Gerard Bond, President and Chief Executive Officer; Marius van Niekerk, Chief Financial Officer; David Londono, Chief Operating Officer, Americas; Peter Sharpe, Chief Operating Officer, Asia-Pacific; and Craig Feebrey, Chief Exploration Officer. The presentation that we will be referencing during the conference call is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary included in the presentation, news release, and MD&A, as well as the risk factors set out in our annual information form. All dollar amounts discussed in this conference call are in U.S. dollars. I will now turn the call over to Gerard for opening remarks.
Gerard Bond: Thank you, Rebecca. Good morning everyone and thanks for joining us today. We are pleased to have safely delivered first quarter production in line with plan in a period of record high average realized gold prices. We had strong production from our three largest sites, and we were free cash flow positive despite it being a quarter in which we were investing to set up a stronger remainder of the year. During the quarter, we released updated technical reports for both Haile and Macraes. The mine plan at Haile now includes the addition of a second underground mine with Palomino projected to increase the average fee grade, improve the economics, and extend the life of Haile. Macraes' technical report showed its updated mine plan. Though it's important to note that this is a reserve case based on a $1,500 an ounce gold price. We see plenty of potential for a longer mine life at Macraes at higher gold prices. We also released multiple exploration updates during the first quarter, which Craig will cover off on later. Each of these exploration updates highlight the organic growth potential we have in close proximity to our existing mines. The best form of growth is organic growth. And in our case, we have a number of options, which mainly relate to increasing access to higher-grade ore to feed existing mills. This is low-risk and high-return growth. Finally, last month, we hosted analysts and investors at our Haile mine and we were really proud to show off the site, particularly the Horseshoe Underground mine. We continue to open up new development headings in line with our plan to reach full production rates there by the end of this second quarter. This next slide shows how we're tracking compared to our guidance ranges. As outlined when we set guidance in February, quarter one was expected to be our lowest production quarter of the year with our production profile to be second half weighted, and this is driven by the timing of access to higher grade ore at all sites. Our first quarter result is in line with this. Open pit stripping is on track at Haile and Macraes and we are entering new ore phases in both open pit mines. Together with the ramp-up at Haile Underground, this will help drive a stronger second half at both of those sites. Given the production profile across the year, our first quarter all-in sustaining cost per ounce is higher than we expect for the remainder of the year. With the benefit of more ounces produced in each subsequent quarter this year, we expect the all-in sustaining cost to come down quarter-over-quarter and be within our guidance range by the end of the year. Our capital projects are on plan. The main items are open pit stripping and tailing storage facility expenditures at Haile and Macraes, continued capital development at Horseshoe Underground at Haile and ongoing permitting and study costs at WKP. 2024 is a year of delivery for OceanaGold, and our plan is for progressively stronger quarters for the remainder of the year. We are on track to achieve the projected annual growth in production, reduction in unit cost and generation of strong and free cash flow. I'll now turn the call over to Marius, who will discuss our financial highlights for the quarter.
Marius van Niekerk: Thank you, Gerard and good morning everyone. I'm pleased to share that we generated a quarterly revenue of $270 million in Q1, driven by strong gold sales of 117,000 ounces at a record average realized gold price. Free cash flow benefited from the strong gold price and was positive for the quarter. Despite high CapEx investment, as well as drawing down low-grade stockpiles at Waihi and Macraes. This translated to an adjusted earnings of $0.01 per share and an operating cash flow of $0.11 per share. Net debt was $82 million at the end of the quarter, which is mainly made up of our drawn bank debt of $160 million less available cash. As per our recent announcement, the available net proceeds from our Didipio IPO will be applied to the repayment of debt and will further strengthen our balance sheet. It is pleasing to see the $550 million valuation for this priced asset following the bookbuild process. Additionally, the sale of the Blackwater project to Federation Mining for $30 million is expected to close in the coming months. Looking ahead, we are expecting an improving quarterly production profile throughout the year and combined with the strong gold price environment and ongoing cost improvement focus, we forecast to be in a net cash position well before the end of the year. This goes to our strategy of being financially strong and gives us the flexibility to continue to invest in our organic growth opportunities across the business, while also considering increased returns to our shareholders. I will now turn the call over to David to discuss the Haile operation.
David Londono: Thank you, Marius and hello everyone. This quarter gold production at Haile was approximately 35,000 ounces in alignment with the planned 2024 gold production profile. Mill Feed this quarter was a combination of higher grade underground ore plus lower grade stockpile material as the open pit activities were focused on the continuous stripping on Ledbetter pits 2 and 3. We expect access to higher grade ore in Ledbetter to begin later in the second quarter and for it to continue to consistently deliver through the remainder of the year. Underground ramp up at Horseshoe is progressing as planned. And during the first quarter, we began backfilling the person the ground stops with cemented rock fill. As we continue to open new production headings, we expect that the Underground will be operating at full mining rates by midyear. Capital spend during the quarter was in alignment with the 2024 plan as we continue with TSF stage for construction activities and expect to ramp up the construction of spec [indiscernible] during Q2, with both facilities scheduled for completion prior to the end of the year. All other projects are being executed as per the 2024 plan. I will now turn the call over to Peter to discuss Didipio and our New Zealand assets.
Peter Sharpe: Thank you, David and good morning everyone. Didipio delivered first quarter gold production of 26,000 ounces and copper production of 3,000 tonnes. Though this was lower than the previous quarter, it was in line with the mine plan, as our stope sequence this quarter had a higher contribution from the lower grade monzonite stopes. We expect to be mining again from the high-grade [indiscernible] stopes in the second half of the year, in line with the mine schedule. The lower production in Q1, in addition to the cost of a planned mill shutdown resulted in a higher rolling sustaining cost for the quarter, in line with the plan and in line with our guidance expectation for the year. We announced during the quarter the results of the underground optimization work, which suggests we can increase mining rates from the current 1.75 million tonnes per annum to 2.5 million tonnes per annum. We look forward to the upside this will bring to Didipio, and we'll share more on this opportunity as we advance this work. Macraes produced 32,000 ounces of gold in the first quarter. The Macraes site continues to build on the mill efficiency we've previously spoken about. And I'm happy to say that they once again exceeded the quarterly throughput record at the mill. Feed through the mill this quarter relied on a higher input from the lower grade stockpiles, though as open pit activities were focused on stripping the next ore phase at Innes Mills. We expect to be in progressively more open pit ore in the next couple of quarters, which is in line with our full year plan. We are also continuing to assess opportunities for additional mineralization at Macraes, which would be economic at current gold prices. That work continues to be one of our key focus areas during 2024 and will drive some of the exploration and engineering updates you will see over the next year. Another exciting milestone for the Macraes team last quarter was the commissioning of the new electric shovel. This new shovel will contribute to our goal of lowering greenhouse gas emissions and has already been successful in its material movement output and done so at a lower unit cost compared to its diesel counterparts. We look forward to leveraging our experience for this type of equipment in other areas across site and eventually across the business. Waihi produced approximately 11,000 ounces of gold in the quarter and continues to address challenges with underground remnant mining, including high stope dilution, which has resulted in lower average grades to the mill. In our Empire West mining area, we had an additional geotechnical challenge last quarter, where an historic crown pillar was identified through probe drilling to be broken and unlikely to be able to adequately support material above the stoping zones. As this area requires a top-down mining sequence to manage the geotechnical risk, an engineered crown pillar would need to be designed and installed prior to commencing stope mining. This has delayed approximately 4,500 ounces of production from the first quarter into the second half of 2024, as we re-sequence operations into other areas of the underground. The difficulty of mining in remnant areas has been well known to us and was factored into our production guidance at the start of the year. We spoke last quarter about the positive developments at the national level of government in New Zealand. Since then, they've introduced a new fast track approvals built into Pond and we are following closely and believe that our Waihi North project, which includes WKP, would be suitable for consideration as part of the government's plan to support accelerated time lines for getting major projects in New Zealand consented and permitted. I'll now turn the call over to Craig to share some exploration highlights from the quarter.
Craig Feebrey: Thank you, Peter and good morning everyone. During the quarter, we had a number of exciting exploration updates as we have had a successful start to the year. At Haile, we released the results of the first underground exploration holes into the Horseshoe extension target. These results are of similar grain to those of Horseshoe and have significant width. So, we're excited to continue drilling with hopes of announcing a new resource by next year. At Didipio, we continue to discover and extend mineralization at depth. Currently, we're underground mining from stopes just 120 meters below the open pit floor. We have just extended mineralization to 720 meters below this, at 600 meters below our current production stopes. These new results provide us ample opportunity to continue testing extensions but importantly, grow the resource through infill drilling with three drill rigs and more than 24,000 meters budgeted for the remainder of the year. In addition to the drilling focused on resource growth at Didipio, I'm pleased to share that we've begun exploration on our regional Napartan target, approximately nine kilometers north of Didipio. We've drilled four holes as part of an early exploration campaign, and we'll continue to advance our knowledge of the area with additional exploration through the year. It's our first time exploring beyond the mine gate in many years. So, we're very excited to again be testing targets in what's a highly prospective area. We also released exploration results from WKP in New Zealand last quarter, where we continued to extend mineralization on the EG vein through additional high-grade step-outs and infill drill holes. While exploration continues to expand the high-grade shoot from these drill pads, it's great to see we have recently commissioned a new drill pad that opens up drill access to the EG Bank for several hundred meters further south. This is part of our 2024 plans to significantly grow the resource with more step out holes and over 11,000 meters of drilling. These results across our portfolio highlight why we continue to be excited about the organic growth options we have in our business. So, I look forward to updating you again as we receive more results from these programs. I'll now turn the presentation back to you, Gerard.
Gerard Bond: Thank you, Craig. So, in summary, we have safely delivered the first quarter in line with plan, and we remain focused on our goals for the remainder of 2024. We have some exciting milestones coming up. Firstly, the ramp-up of Haile Underground to its full run rate by midyear and advancing the work to increase Didipio's underground mining rates, both of which increased the feed grade to existing mills. Secondly, progressing WKP, both the drilling and study work so that we are well placed to advance the project if the project is awarded a fast-track project status by the New Zealand government. Thirdly, to safely, and responsibly increase the free cash flow generation from our business, taking advantage of current metal prices and bringing more of the price to the bottom line by improving our asset utilization and lowering costs. Continuing exploration and finally, completing the listing of OceanaGold Philippines, Inc. and the Blackwater sale. Together with the free cash flow generated from operations, this will allow us to repay debt, strengthen our balance sheet and position ourselves to fund our growth and increase returns to shareholders. I'll now return the call to the operator and open up the line to any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Ovais Habib at Scotiabank. Please go ahead.
Ovais Habib: Hi Gerard and OceanaGold team. Just a couple of questions from me. Just starting off with Haile. I was definitely glad that I attended the Haile site trip. And was great to see Haile Underground performing well. Maybe just a question for David. Any color you can provide on ongoing development? Essentially how far ahead of production are you right now? And what's the target for the next, let's say, six months?
David Londono: Hi, good morning Ovais. So, as you saw during the visit, we actually already done at the 925 level, and we're mining in the 975. So, we at least six months advance on the development. So, we made good progress. We're opening up new headings already. And as we ready for the full ramp-up before the middle of the year.
Ovais Habib: Thanks David for that. And just maybe moving on to the Didipio IPO. How should we be looking at withholding taxes on the funds that we generated with this IPO?
Gerard Bond: Hi, Ovais, good morning. The expected withholding tax rate is 10% of proceeds. We also have some costs associated with the IPO as well. So, it will be -- what we've indicated to the market via our release, less cost, less 10%.
Ovais Habib: Perfect. Thanks for that. And then just moving on to New Zealand. You mentioned that the new government introduced a fast-track approvals bill for mining projects. Any more color you can provide as to how the WKP fits into this? And then kind of what we should expect over the next couple of months regarding WKP?
Gerard Bond: Yes. Well, two things, the first is the bill has to go through the parliamentary process and it will have a number of readings. So, I think that the target of the government, as announced by them, is to have it enacted by the end of the year. Concurrently, we'll continue to do the study work and the drilling work to make sure that we've got the best possible reserve resource size for that study and any PFS and technical report that we do. As we said before, we'll continue to progress that and hope to get that done by the end of the year. So, there could be this nice convergence between having some clarity on the bill, clarity on how we're going to progress the project. And also, ultimately, and it's a process that we have to -- we have no line of sight on other than we hope to be a fast-track project that we get that status, which will have the benefit of giving us greater certainty of that period from the time of releasing our technical report and to first production.
Ovais Habib: Thanks Gerard. And just last question for me. Gerard, in terms of inflation, I mean, obviously, we saw high end inflation going in to the end of 2023. Have you started seeing any sort of inflation tapering off especially on labor side coming into 2024?
Gerard Bond: Look, most of our inflationary costs have been low single-digits as it relates to labor. The issue we have in some jurisdictions is turnover. That's kind of like the hidden cost of inflation. And obviously, when you've got a vibrant Australian mining sector so close to New Zealand and the Philippines, we do get some particularly younger folks, taking the opportunity to earn more money in a higher paid jurisdiction. But as it relates to the cost of wages bill, it's low single-digits. And that's been locked in at the start of this year or late last year, fall this year, as a result of both collective agreements and then try and pay rises. And I would say, Ovais, that also included in our guidance estimates for this year.
Ovais Habib: Sounds good. Okay, thanks for that Gerard and that’s all for me.
Gerard Bond: Appreciate Ovais. Thank you.
Operator: Thank you. Next question comes from Wayne Lam at RBC. Please go ahead.
Wayne Lam: Yes, thanks. Morning guys. Just wondering, at Haile, the 65% weighting in H2 implies a pretty big second half and the underground grades seem to have held up pretty well versus plan. But just curious on the mining and development rates that looked a little bit lighter in terms of the ramp up. I just wanted to understand a bit more detail about perhaps a number of stopes that might be opened up by midyear? Or any other metrics that you're looking at that gives you confidence that the ramp-up remains on track?
Gerard Bond: Yes. Thanks Wayne. Look, I'll let David do the second half of that question. But just a reminder for everyone on the call, I mean, we have two things going on there at Haile. One, we've got the ramp-up of the underground to full mining rates, which we expect will be achieved by the end of this year and that obviously gives us a great advantage. And then the second, we have access to the Ledbetter open pit ore that we were stripping in the first quarter and progressing a bit through this quarter. So we get a double barrel effect of both higher grade from underground and higher grade from -- progressively higher grade from Ledbetter open pit that all that will do is displace low-grade stockpiles. As it relates to the rate of ore feed from underground in the first quarter, we were doing, as David mentioned earlier, a lot of development work to give us that space, those headers that allow us to achieve that full run rate. But David, do you want to get to the second half of Wayne's question, do you want to give some sense for what he was asking about in terms of development rates and stripping?
David Londono: Yes. So, at this point in time, we're actually doing a lot better than we budgeted for development. And we're advancing about between 350 and 400 meters per month, and then we actually budgeted 340. So that's a very good because as Gerard said, we're opening more headings. We plan to be mining about four stops per quarter, which is in line with the mine plan. And as Gerard said, we're getting into the peak of the high-grade ore in Ledbetter. So we're very confident that we're going to have the ore that we planned for the second half of the year.
Wayne Lam: Okay, perfect. Thanks. And then maybe just at Macraes. Will you help outline a little bit more detail on where you see potential for additional material to be pulled in at $2,300 gold price versus the $1,700 resource assumption? And just wondering, given the loss of some of the reserves earlier this year, I guess, as an offset to that, is there any additional material that could be brought forward into the plan given the higher gold price?
Gerard Bond: Yes. Great question, Wayne. Peter, do you want to take that one?
Peter Sharpe: Yes, Wayne. So, the areas that we would look to extend with the higher gold price in its mills, there's a significant cutback that we could -- that we are looking at and that we could execute in Innes mills Coronation and Coronation North, have got a number of cut backs and golden bars has got another two cut backs. And these are all areas that with the higher gold price, we would be able to execute. We see reasonably, simply and quickly. There's obviously the approval process that we will need to go through. And we're looking using the new fast-track process with New Zealand government potentially to make sure we get those nominated as well.
Wayne Lam: Okay, great. And then maybe just last one for me. Just at Waihi. I wanted to understand a bit more about the geotechnics this quarter. Were those issues kind of localize? Or is there any impact to potential scaling back of mine rates there that might impact output levels ahead?
Peter Sharpe: No. So, they are localized. And one of the challenges -- or some of the challenges we're having with the underground remnant areas is, we actually have to develop in a lot of cases, develop out to the old remnant areas and then probe drill to actually really understand what's there. We're relying on a lot of historic information, and we actually need to verify before we can fully execute. So, the pro-drilling in this case, identified that the ground pillar was not adequate, which meant that we did have to have a mine plan change. So, that has deferred some of those ounces out to the second half of the year. But an actual fact, our plans are now looking at how do we ramp up underground mining rates from Waihi. So, it's less about actually pulling back and it's more about mining more tonnes. We are continuing to see some challenges around dilution. We have got a program to reduce that. But -- we also want to make sure that we mine all of the contained gold. And in the remnant areas, sometimes it's better to take a little bit more and get all the contained gold. But it does reduce the average grade through the mill. So, we are working on a plan now to actually ramp up total mining capacity so that we can maintain the ramp-up that we expect.
Wayne Lam: Okay, perfect. Thanks for taking my questions and best of luck in the ramp-up ahead.
Gerard Bond: Thanks Wayne.
Operator: Thank you. Next question comes from Cosmos Chiu at CIBC. Please go ahead.
Cosmos Chiu: Thanks Gerard and team. Maybe going back to the Didipio IPO. Now, that you'll be floating 20% of the shares of the subsidiary, will you be changing your guidance in any way now that you don't own 100%? And the next question is, are there any accounting intricacies that we should be aware of as you -- after the completion of the IPO?
Gerard Bond: Thanks Cos. No, there won't be any change to the guidance. We operate it is 80% owned by us. So in line with practice by all gold mines, we'll include it in our guidance. Obviously, it affects the net cash flow we received. From an accounting perspective, no, just it will be consolidated as usual per accounting rules, and there will be a minority interest and there will be the biggest delta will be, of course, forward cash flow because there will be a 20% minority interest receiving the dividends that will be repatriated by OceanaGold Philippines Inc. to all shareholders, including the parent.
Cosmos Chiu: Great. Maybe as a follow-up, could you maybe comment on the IPO process? Were you satisfied with it? Certainly, as Marius talked about, in the end, you got a good price. But I think initial documents could have pointed to potentially an even more or even higher price for the IPO. Could you maybe comment on that and how you feel about the entire process in the end?
Gerard Bond: Yes. No, look, we're pleased with the process. The process went well, and the outcome is great. So we achieved a price in 100% terms, that is above consensus estimates -- the consensus analyst estimates for Didipio and that's from minority interest. So, we were pleased with it. You are right, when we started this process, gold and copper prices went on a good run and you'd love to think that, that would translate to an even higher price, but that's not happening into gold equities more broadly. So, that's more a macro question about the disconnect between spot gold prices and gold equities. But as it relates to the valuation of Didipio Mine, we were happy with the outcome again because we beat the Street estimate of the value for a minority stake. I actually think the asset is a fabulous asset, and it's a great opportunity, I am not marketing, but it's a great opportunity given it is so low on the cost curve and generate so much cash flow. And as Craig said, has so much exploration upside, and that goes to longevity and along with the increase in mining rates that Peter spoke about. We were selling this somewhat reluctantly because we had to was the term of the FTAA but there's -- it's a great asset and we're happy with the outcome.
Cosmos Chiu: Great. Maybe if we can talk about guidance a little bit, Gerard. Well had a graph that Q1 is going to be the weakest quarter of the year. As you mentioned, it's going to strengthen with each successive quarter. Reading through the MD&A and be knowing the company as well. It does sound like it's going to be stronger in the second half with the underground, with the higher grades at some of the assets. But could you maybe talk about the velocity of change in terms of successive quarter in terms of improving on production. Am I correct that it's really going to jump in the second half, what's going to happen, say, in Q2?
Gerard Bond: Yes. In summary, Cos, we expect each quarter to be successively stronger. And then just from like a compound perspective, by definition, the second half is stronger than the first. But we expect that final quarter to be the strongest. And this is going to have an inverse positive relationship with all the sustaining costs because grade is king, and we view where mills are with the exception of why here flat out. And so you just put at the same processing cost. And obviously, the waste-to-ore ratio at the open pits slows, we get like a triple whammy. So, no, it's quarter-on-quarter improvement. And that's most dramatic at Haile and equally a strong contribution from Macraes. And given that, that represents, say, 70% of our production, that's what strives a lot of that change.
Cosmos Chiu: Great. And then maybe one last question. Q1 was a bit of a perfect storm in terms of transitioning from one pit to another at Haile, waiting for the underground to come through. Pre-stripping at Macraes and Didipio grades were down a little as well. So, it resulted in the weakest quarter of the year, high on sustaining costs. Gerard, as a company, was there any thought in terms of smoothing out quarterly production? Or was that something that not what you consider it's really dependent on the individual mines and individual mine plans? I'm just wondering because sometimes people talk about multi-asset company diversification is a benefit? I'm just wondering if there were ever any thoughts in terms of smoothing our production quarter-over-quarter?
Gerard Bond: In short, Cos, no. I mean every mine is -- has to be optimized in and of itself, and we're not -- we're not playing portfolio smoothing. We're trying to get the most gold at the lowest cost to market as soon as we can. We do get the benefit of diversification. I mean, it's happened in the last two years, right? Last year, Macraes performed -- and Didipio performed super strongly to offset a slightly weaker Haile. The year before Haile massively outperformed offset and weaker Macraes. So, over a year, we get that benefit. But no, each site has its own plan. And as you said at the beginning, this was a quarter that, with the exception of Waihi for the reasons Peter mentioned, performed entirely in line with expectations. And we have to manage the business to -- on a multiyear basis, we're not trying to smooth earnings. We're not trying to smooth production.
Cosmos Chiu: Of course. Thanks Gerard, those are all my questions. Thanks for your answers.
Gerard Bond: Thank you, Cos. Appreciate it. Thank you.
Operator: Thank you. [Operator Instructions] Next question comes from Mike Parkin at National Bank. Please go ahead.
Mike Parkin: Hey guys. Most of my questions have been answered. Just following up on the potential to kind of bring in marginal tonnes, mostly seems like a Macraes with a much higher gold price versus budget. Is any of it opens up quality tonnes that are just kind of buried behind a lot of waste? If that's the case, are you comfortable just going ahead with it in this gold price environment, where would you any kind of short-term collar structure just to ensure cash margins are maintained to access those tonnes?
Gerard Bond: Yes, great question, Mike. And welcome back. Great to have you back on the line. You're obviously a bit rusty. Mike has been the fourth person on the call, most of your questions will be answered early, but no one has asked this one. No, we will be very careful to make sure that anything we do, as you call it, marginal tonnes, give us good return on the capital deployed. You're spot on. I mean you could hedge out over the next three years, the gold price and lock in a price higher than what the market analysts have us their tapering gold price estimates, although I do note that they're lifting at the back end almost on a weekly basis. But at this point in time, with a strong balance sheet that we are largely deleveraging, we -- I don't think we want to be calling the top of the gold price and I don't think we would necessarily hedge. But that's a decision we don't have to make yet. But you can -- and everyone on the call can be certain that -- we're not going to mine to produce production that's $1 an ounce below the gold price. We're going to make sure we get a good margin on that investment. There is always a risk when you're doing stripping campaigns that you take that bet. But I think the balance sheet and over portfolio profitability would warrant that. And again, there are decisions ahead of us, but that's the current thing at this point in time.
Mike Parkin: Okay. Thanks very much.
Gerard Bond: Thank you, Mike.
Operator: Thank you. There are no further questions. I will turn the call back over for closing comments.
Gerard Bond: Thanks everyone. Thanks for joining us. That concludes the call. The replay will be available on the website later today. On behalf of everyone at OceanaGold, the management team, all employees, thank you for attending and I wish you a pleasant rest of the day. Bye for now.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating and we ask that you please disconnect your lines.